Operator: Greetings, and welcome to the Helios Technologies, Inc. Fourth Quarter Fiscal Year 2025 Financial Results Conference Call. At this time, all participants are in a listen-only mode. A brief question-and-answer session will follow the formal presentation. If anyone should require operator assistance during the conference, as a reminder, this conference is being recorded. It is now my pleasure to introduce your host, Tania Almond, Vice President, Investor Relations and Corporate Communications. Thank you. You may begin.
Tania Almond: Thank you, operator, and good day, everyone. Welcome to the Helios Technologies, Inc. Fourth Quarter 2025 Financial Results Conference Call. We issued a press release announcing our results yesterday afternoon. If you do not have that release, it is available on our website at hlio.com. You will also find slides there that will accompany our conversation today as well as our prepared remarks. Joining me today are Sean Bagan, President and Chief Executive Officer, and Jeremy Evans, our Executive Vice President, Chief Financial Officer. Sean will start the call with highlights from the fourth quarter and the full year, then Jeremy will review our financial results in detail and establish our 2026 outlook. Sean will come back with some closing remarks, and then we will open the call to your questions. As an additional reminder, we have our upcoming Investor Day taking place in sunny Sarasota, Florida, on Friday, March 20 for institutional investors and analysts. We are excited to be sharing our longer-term outlook and will have colleagues from our flagship businesses on hand demonstrating some of our products. We are also offering an optional manufacturing facility tour of the original Sun Hydraulics production location. It is just three weeks away, and our leadership team is excited to see everyone in person. Please reach out to me if you would like to RSVP. Now turning to slide two, you will find our safe harbor statement. As you may be aware, we will make some forward-looking statements during this presentation and the Q&A session. These statements apply to future events that are subject to risks and uncertainties as well as other factors that could cause actual results to differ materially from those presented today. These risks and uncertainties and other factors can be found in our annual report on Form 10-K for 2024 along with the upcoming 10-Ks to be filed with the Securities and Exchange Commission. These documents are on our website or at sec.gov. I will also point out that during today’s call, we will discuss some non-GAAP financial measures which we believe are useful in evaluating our performance. You should not consider the presentation of this additional information in isolation or as a substitute for results prepared in accordance with GAAP. We have provided reconciliations of comparable GAAP with non-GAAP measures in the tables that accompany today’s slides. Please reference slides three through five now. With that, it is my pleasure to turn the call over to Sean.
Sean Bagan: Thanks, Tania, and welcome, everyone. We truly appreciate you joining us today and are pleased to have this opportunity to share the sustained Helios Technologies, Inc. team made in the fourth quarter, capping off what became a true turnaround year in 2025. Results finished ahead of recent expectations, with all businesses reporting quarterly sales and earnings growth, leading to full year sales growth for the first time in three years, while also delivering record free cash flow. This is my favorite time of year, the NCAA March Madness Tournament is right around the corner. Teams are competing for higher seeds that reflect their full body of work, and I see a clear parallel to our fiscal 2025 performance. As the year progressed, we strengthened our position, finishing it off with back-to-back quarters of year-over-year profitable sales growth. That is the equivalent of winning the first two rounds of the NCAA tournament. It builds confidence and momentum, but championships require sustained excellence. Sales and orders accelerated in the second half of the year, reflecting the increasing impact of our go-to-market initiatives and our industry-leading innovative products. In conjunction with the CONEXPO trade show this week, we are excited to begin the rollout of our next wave of products, and our plans for 2026 will be to continue that at an elevated pace. Throughout 2025, we overcame numerous challenges. At a macroeconomic level, the two most meaningful indicators for our Hydraulics segment are PMI and Industrial Production, both showing extended contraction for much of the year, meaning weaker factory output conditions overall here in the U.S., while globally regional differences existed with pockets of expansion. We are encouraged by some of the initial 2026 readings with both sentiment and actual production improving together. However, 2025 can best be characterized as slow and uneven and certainly not sustained growth. Additionally, we managed through other macro challenges presented by global tariffs, geopolitical uncertainty, and a weak consumer market. Despite all that, the results were the same. We controlled the things we could control, and we executed. I could not be prouder of our team, and I extend my sincere gratitude to each one of my colleagues. Fourth quarter sales exceeded our expectations, up 17% to $211 million, resulting in 4% growth for the full year to $839 million. On a pro forma basis, excluding the Custom Fluid Power, or CFP, divestiture, sales for the fourth quarter were up 29% and for the full year, up 6%. Our margins are strengthening and benefiting from the higher volume along with our operational excellence efforts and cost control measures. We have had four consecutive quarters of gross margin expansion. Adjusted EBITDA in the quarter was 20.1%, our second quarter in a row back in the twenties. Operationally, we had numerous accomplishments in 2025. First, we returned to growth by executing on our customer-centric go-to-market strategic initiative. We redirected internal resources to more fully engage with our customers as well as accelerated the cadence of new product launches. This was reflected in the number of meaningful product launches in 2025 for both segments. We expanded our offerings with higher value solutions that complement existing products and represent a natural extension of our customers’ existing purchases. We believe our strategy to develop high-value, mission-critical, ruggedized solutions for our customers in niche applications gives us a competitive edge. Second, we took decisive action to optimize our portfolio. With the CFP divestiture, we removed Sun Hydraulics from owning the distribution business in Australia, reverting to our core and what we are best at: designing, developing, and manufacturing manifolds, cartridge valves, and integrated packages. Further, we are aligning our go-to-market approach in the Australian market with the rest of the business by leveraging an exclusive agreement with the buyer, Questus Group, to provide distribution and fulfillment services for Sun Hydraulics products in Australia. This fosters a partnership where each party’s success contributes to the other’s advancement. We also acted on our centralized engineering team, the Helios Center of Engineering Excellence operation, and reallocated engineering resources back into our core businesses. Continuous portfolio evaluation will be standard work for us moving forward. We introduced a new share repurchase program in 2025, and repurchased 1% of the company’s outstanding shares throughout the year. This share buyback model as a form of shareholder return marks the first for the company. Importantly, we continued our longstanding practice of paying cash dividends, which we have done for 116 consecutive quarters, or over 28 years. Finally, we fortified our leadership team in 2025. I was formally named President and CEO, Billy Aldridge was promoted to President of the Electronics segment, and Jeremy Evans was promoted to Chief Financial Officer. With Rick Martich and Matteo Arduini leading the two large businesses in the Hydraulics segment, supported by a fortified executive leadership team at the Helios Technologies, Inc. level, we now have our full leadership team in place to harness our collective energy and create the momentum to drive us forward. This makes us even more confident regarding our expectations for 2026 and beyond. Before I turn the call over to Jeremy to provide the details regarding our financial results, I want to share how pleased I am that he is now officially in the CFO seat. When Jeremy and I joined forces with the Helios Technologies, Inc. leadership team, we committed to building a predictable, performance-driven culture. Achieving or exceeding our forward quarterly guidance for nine consecutive quarters demonstrates the operational rigor and accountability that now define our team. Jeremy, over to you.
Jeremy Evans: Thank you, Sean, and good day, everyone. It is an honor to report to you today in my new role as Chief Financial Officer. As many of you know, I have been with Helios Technologies, Inc. for the past two years in a finance leadership role. I am excited to continue partnering with Sean, Tania, our leadership team, our board, and the broader global Helios Technologies, Inc. family as we execute our strategy, build on our culture of accountability, and stay focused on delivering consistent and predictable performance. As I review our fourth quarter and full year results, please refer to slides six through nine. Fourth quarter sales were $211 million, up 17% compared with $180 million in the prior year period, and above the expectations we laid out on our third quarter call. We divested CFP at the September, so the fourth quarter is more comparable on a pro forma basis. Excluding the $16 million in CFP sales in last year’s fourth quarter, sales for the quarter were up 29% year over year. Growth was broad-based, driven by both segments, with Hydraulics sales up 10% and Electronics up 31%. On a pro forma basis, Hydraulics grew 27%. There was strength in all regions when normalizing APAC sales for the impact of the CFP divestiture. 2025 full year sales were $839 million, an increase of just over 4%. Sales were up 6% on a pro forma basis. As Sean mentioned, this marks our return to top-line growth after a multiyear period of declines and reflects the progress we have made on our go-to-market initiatives and the stabilization we have seen in some of our end markets. Higher sales and improved absorption drove gross profit up 31% in the quarter to $71 million, and gross margin expanded 350 basis points to 33.6%. In addition to higher volumes, we had the contributions of improved mix and ongoing productivity and cost actions, which were partially offset by residual tariff impacts. For the full year, gross profit also increased at a faster pace than sales, and was up 7.5% to $271 million. Gross margin was 32.3%, an increase of 100 basis points from 2024. Our margin profile also benefited from the CFP divestiture. While its profitability had been measurably improved over the years under Helios Technologies, Inc. ownership, it was nevertheless a drag on consolidated margins. Fourth quarter operating income nearly doubled over the prior year period, and operating margin expanded 480 basis points to 12.2%, demonstrating the operating leverage inherent in the business. For the year, operating income was down 19%, primarily as a result of the goodwill impairment charge taken in the third quarter related to iPROD product development. On a non-GAAP basis, adjusted operating margin in the quarter was 16.4%, up 310 basis points year over year. For the full year, non-GAAP operating margin was 15.4%, up 20 basis points over 2024. Our effective tax rates for the quarter and year were 22.7% and 22.5%, respectively, reflecting the income mix in our various tax jurisdictions. Diluted EPS in the quarter was $0.58, up over four times the prior year period. I should point out that we had a $5.4 million one-time benefit in net interest expense related to an interest rate swap that was originally due for maturity this quarter, dating back to our refinancing actions in June 2024. Diluted non-GAAP EPS was $0.81, an increase of 145%, reflecting our strong operating performance. For the full year, diluted EPS increased 24% to $1.45, and diluted non-GAAP EPS of $2.56 increased 22%. Adjusted EBITDA margin was 20.1% in the fourth quarter, up 270 basis points over the prior year. Improved profitability reflects the impact of the volume increase as well as the many actions taken during the year to streamline the business and focus on driving profitable sales. For the full year, adjusted EBITDA totaled $161 million, up 4% over the year-ago period, and EBITDA margin of 19.2% was flat with last year, net of the tariff impacts. Turning to the segments, please refer to slide 10. As I noted earlier, Hydraulics reported robust 27% sales growth for the quarter on a pro forma basis. By end market, we saw demand in mobile applications being driven by construction markets across all regions. Early signs of recovery in agriculture continue, as sales to the ag market were up from the prior year for the second quarter in a row. More robust activity in Europe and China is driving demand for faster ag-focused applications. Hydraulics gross profit in the quarter grew 27% year over year, and gross margin expanded 440 basis points to 34.1% driven by better fixed cost leverage on higher volume, lower direct cost as a percentage of sales due to ongoing productivity initiatives, and the impact of the CFP divestiture. Segment SG&A expenses in the quarter increased $1.3 million, or 7%, primarily reflecting higher wages and benefits as well as investments in R&D, but improved more than 50 basis points as a percentage of sales. Turning to Electronics on slide 11. Electronics sales in the quarter were up 31% year over year. We saw continued strength in the recreational space with a particular customer that is realizing meaningful growth in its market. Industrial and mobile end markets have also been solid with persistent demand for construction equipment to address the large amounts of infrastructure spend primarily in the U.S., but also in Europe. Health and wellness grew year over year as well. There are still pockets of volatility in consumer-exposed demand, particularly in the recreational marine markets. Electronics gross profit in the quarter was up 40% and gross margin expanded 220 basis points, primarily driven by higher volumes and a more favorable segment mix. SG&A expenses increased $3.3 million, mainly due to higher wages and benefits, but improved over 100 basis points as a percentage of sales. Operating income increased 76% to $9.5 million, and operating margin expanded 330 basis points on strong operating leverage. On slide 12, you will see that we had record cash generation from operations of $46 million for the quarter, delivering a record $127 million of cash from operations for the year. We had our second consecutive year of record free cash flow as well. It is worth noting that our working capital reduction efforts have paid off and contributed to the record cash flow. Our more structured approach to inventory management, receivables collection, and payables optimization have resulted in another year improving our cash conversion cycle. Flipping to slide 13, you will see we used the cash generated, along with the proceeds received from the divestiture of our CFP business at the end of the third quarter, to pay down $82 million in debt this year. As a result, we ended 2025 with a net debt to EBITDA leverage ratio of 1.8 times, a level that has not been achieved since 2022, on a reported pro forma basis. We hit another key milestone in the quarter: our available liquidity has surpassed our total debt. We have sufficient liquidity to execute on our growth plans and to return cash to our shareholders. We also continued our long history of returning capital to shareholders with our 116th consecutive quarterly dividend in January, and initiated repurchasing shares under our authorized buyback program that we established in 2025. We repurchased 80,000 shares during the quarter, increasing our year-to-date total to 330,000 shares at an aggregate cost of $13.6 million. Slide 14 summarizes my previous comments reflecting how we did on the financial priorities that we established for 2025. Across the board, our team successfully delivered results in each category. Slide 15 reflects our new financial priorities as we enter 2026 that align with how we plan to turn the opportunities we see in front of us into financial results. First, execute on our growth plan by winning share from our growing sales funnels through continued product innovation. Second, expand gross margins by driving productivity and leveraging our global footprint and capacity. Third, maintain earnings momentum by building on a strong foundation and aligning SG&A investments with our sales growth. Fourth, optimize capital allocation by investing in organic growth and driving sustainable shareholder returns. With these priorities guiding us, we are committed to focused execution to deliver expanded earnings and long-term value creation in 2026 and beyond. Turning to our outlook on slide sixteen and seventeen, for the first quarter of 2026, we expect sales to be in the range of $218 million to $223 million, up 22% over last year’s first quarter at the midpoint on a pro forma basis excluding the CFP divestiture. We expect consolidated adjusted EBITDA margin to be in the range of 19.5% to 20.5%, up over 250 basis points at the midpoint, and diluted non-GAAP EPS of $0.65 to $0.70 per share, up 53% at the midpoint. For the full year, we expect net sales will be in the range of $820 million to $860 million compared with $839 million as reported in 2025, or $792 million on a pro forma basis excluding the CFP divestiture. This implies 6% growth over 2025 on a pro forma basis at the midpoint, driven primarily by volume growth in our core platforms and the continued ramp of recent commercial wins. At the segment level for the full year, we expect Hydraulics net sales in the range of $510 million to $530 million, up approximately 5% at the midpoint on a pro forma basis. For Electronics, we project net sales in the range of $310 million to $330 million, up 7% at the midpoint. As you will notice, based on how we expect the year to start relative to our full year guide, we expect 2026 to have much stronger year-over-year growth rates in the first half based on the timing of the end market recoveries and our current visibility on customer order flow. We expect 2026 adjusted EBITDA margin will be in the range of 19.5% to 21%, reflecting continued gross margin expansion, operating expense discipline, and the full-year benefit of our portfolio and footprint actions. We expect diluted non-GAAP EPS in the range of $2.60 to $2.90, or 7% growth at the midpoint. As a reminder, fiscal year 2025 diluted non-GAAP EPS included a benefit from a $5.4 million interest rate swap. We believe we have a sound strategy built to drive sustainable growth, expand profitability, and unlock greater value for our shareholders. The resilience and execution of our global teams have positioned us well for what comes next, with slides eighteen and nineteen. With that, I will turn the call back to Sean for his closing remarks.
Sean Bagan: Thanks, Jeremy. As I step back and reflect on where we have been and where we are headed, I am incredibly energized by the opportunities in front of us. We entered 2025 with a clear plan and a commitment to enhance discipline. Today, we are operating with greater precision, accountability, and focus. And it shows. Across our key focus areas, the Helios Technologies, Inc. team executed. We strengthened our go-to-market structure and institutionalized the cadence that drives funnel development, cross-selling, and pipeline management. We protected and grew our base business, capturing greater wallet share and driving organic growth. We improved profitability through prudent cost management and operational efficiencies. We continued investing in innovation and accelerated new product launches to support our long-term market leadership. We developed our talent, ensuring the right people are in the right seats to power our next chapter. And we sharpened our capital allocation strategy by divesting a non-core asset, reducing our debt, driving working capital improvement, and enacting a new share repurchase program. Simply put, we are building a stronger, more resilient, and more scalable Helios Technologies, Inc. The progress this year has been remarkable, but what excites me more is that we are just getting started. Investments we are making today are fueling the next chapter of performance. We are defining a new standard, and we intend to keep raising that bar. As we enter 2026, our key focus areas reflect the natural evolution of the foundation we built in 2025. We are advancing our strategic framework through focused execution of our plan while sharpening our go-to-market engine to convert funnel growth into consistent new business wins. We are institutionalizing innovation with more rigorous NPI processes, driving earlier and more impactful product launches. At the same time, we are deepening our commitment to operational excellence, strengthening organizational development, and embedding a return on invested capital mindset more rigorously into every capital allocation decision. Together, these priorities position Helios Technologies, Inc. to execute with discipline, scale with confidence, and elevate performance to the next level. In the NCAA March Madness tournament, you do not win championships in the first weekend, but you prove you belong. Two consecutive quarters of strong performance is our version of advancing to the Sweet 16. It reflects tenacity, resilience, and a team that knows how to perform under pressure. We like our momentum, and we are focused on sustaining it. I am more confident than ever in our strategy, our team, and our ability to deliver sustainable growth and increasing earnings power. The leadership team and I look forward to unveiling the CORE 2030 strategy on March 20. This strategy will define the next chapter of growth and outline our vision for Helios Technologies, Inc.’s future. We hope you can join us to hear more. The future for Helios Technologies, Inc. is bright, and we are deeply committed to long-term value creation for our shareholders. Thank you for your continued engagement and support. With that, let us open the lines for Q&A, please.
Operator: Thank you. We will now be conducting a question-and-answer session. If you would like to ask a question, please press 1 on your telephone keypad. A confirmation tone will indicate your line is in the question queue. You may press 2 if you would like to remove your question from the queue. For participants using speaker equipment, it may be necessary to pick up your handset before pressing the star keys. One moment please while we poll for questions. Thank you. Our first question comes from the line of Tomo Sano with J.P. Morgan. Proceed with your question.
Tomo Sano: Hello, everyone. My first question is while full Q results were pretty strong and first quarter guidance is also strong, but the full year outlook appears more cautious for the second half. We understand there may be high comparables or conservativeness, but are the benefits from go-to-market initiatives or new product launches fully reflected in your guidance in the second half? And could you elaborate on the key assumptions for the second half and the potential for upside? Thank you.
Sean Bagan: Good morning, Tomo. Thank you. Yes. And first, I want to thank you for learning more about our company and initiating coverage here in the fourth quarter of last year. We really appreciate it, and are very excited to partner with you moving forward, telling our company story. So when we set out our guidance for the full year, we put a range of $820 million to $860 million. That $860 million at the top end would be a plus 9%. We do believe carrying that momentum from 2025 into 2026 is real. We look at stronger order trends that we are seeing and our existing order backlog that help us inform Q1, particularly given that we released earnings so late here in the week in the fiscal year last year. And so we feel very good about the trajectory here to start the year. As we get to the back half, certainly as you referenced, we are going to lap tougher comps. We feel that 2025 is very strong. And so if we see sustained order volumes that we have seen for the last ten months of increasing orders year over year, we do believe we can get to that top end of the range. But there is certainly a lot of uncertainty as well in the world, and challenges that we are seeing brewing, whether it is with what is going on in the Middle East right now, some of the supply challenges, particularly on our Electronics side of the business with chips. So we are trying to really balance all of that, but clearly committing to continuing to drive growth, and believe that our go-to-market strategies and outcomes are going to give us the confidence to sustain that momentum.
Tomo Sano: Thank you, Sean. And follow-up on the capital allocations. So under the new leadership, we have been seeing a notable improvement in cash flow, a higher CapEx as a percentage of sales, and introduction of a share repurchase. I think Jeremy already touched on a little bit, but could you give us more color on your key capital allocation priorities going forward, please?
Jeremy Evans: Yeah. Thanks, Tomo. We have been very systematic about our capital, and we have been very focused on paying down debt over the last two years and, you know, ended the year with a net debt to adjusted EBITDA leverage ratio of 1.8, which was below our target of 2. And in the short term, we are going to continue to pay down debt. That is just going to naturally happen as we make our minimum debt payments and as our business grows, we get to higher EBITDA. We are going to see that leverage ratio come down a little bit. You did mention CapEx. We are projecting a bit higher CapEx in 2026 than we had in 2025. 2025 was a little bit low, sub 3%, and some of that is going to carry over to this year just due to the timing of how some equipment purchases and projects rolled in. But we do see opportunities to invest in ourselves and our internal capabilities, whether that be new equipment that gives us a little bit more productivity and automation, or investing in internal capabilities to meet some of the new product launches that we have in our roadmap.
Tomo Sano: Thank you, and congrats on the quarter.
Operator: Our next question comes from Nathan Jones with Stifel. Please proceed with your question.
Nathan Jones: Good morning, everyone. Guess I will start with a couple comments that you guys made in your prepared remarks. You talked about recent commercial wins ramping up. Could you maybe provide a little bit more color around kind of products, markets, expected run rates, those kinds of things that we are looking at from those kinds of wins?
Sean Bagan: Yes. So we will definitely dive a lot deeper into this at the Investor Day. But just at a very high level, as you know, our number one focus in 2025 was really reinvigorating our top line, and that required us to change sales leadership and put a lot more resources, put a lot more hunters into the business, and then just the process discipline around tracking the sales funnel. And really, as we get into this year in 2026, we have seen a tremendous amount of growth at the top side of the funnel, and so it is going to be about converting those into new business wins. But equally, we are very excited. We will show the progress we made in 2025 in generating new business wins well over $50 million that we will talk about again further at the Investor Day, but it is not as much on new markets in terms of areas that we have not been servicing already. It is with existing customers, more share of wallet. When you look at the product launches we have had throughout 2025, it is an extension of our product line of products and features that our existing customers would naturally be buying. And so we are trying to create those stickier solutions and catch some of that product. Now as we get into this year, as we announced today, we are going to continue that focus on launching new products into incremental revenue trends in those niche applications. So the one that we would call out that saw probably a lot of growth more so than others is aerospace. That is an area where we have been putting a lot of our energy and focus, and we think there is a tremendous opportunity there as well. And then as I said at Investor Day, we will be talking about some new markets and new adjacencies that we are pursuing and going to be launching products that we think can capitalize and even accelerate our growth further.
Nathan Jones: Thanks for that. I guess my follow-up is around some commentary you made on the ag market and probably to the extent that this is relevant to other markets. You talked about, you know, significant improvement there, significant demand improvement. When you are talking about that, are you really talking about, you know, more stabilization of production levels rather than end customer actual demand levels, so it is kind of a bit more of end of destocking that leads to higher demand for Helios Technologies, Inc.? Or do you think you are actually seeing end sell-through in some of those markets improve? Thanks for taking the questions.
Sean Bagan: No. Yeah, thanks, Nathan. The former, for sure. Definitely not seeing signs of any real strong market recoveries at the end market, but absolutely the channel inventory levels are way healthier. So as the retail environment improves, certainly we will benefit from that. But if I kind of look at our Sun Hydraulics business, that is through distribution, and our key indicator there is their distributor inventory levels of all those distributors that we go to market through. We continue to see that come down year over year, slightly down, sequentially down. The market is still being down, yet our Sun Hydraulics business grew, so it is a good sign that we are taking share. And, again, we would attribute that back to our go-to-market target account planning, closer to the customer, the products we are launching there. When you look at the Faster business indexed highly to the agriculture segment, totally spot on with your commentary that retail still is very choppy and down in most places globally. However, our Faster team has done a nice job to diversify and build a little bit steadier distribution business, but those channel inventory levels are definitely healthier, and we are starting to see signs of that in some of the guidance of the OEMs as well. We are going to feel that earlier as a supplier into those channels. When you go to the Electronics segment, that consumer market is still challenged. Interest rates have not come down as quickly as expected. A lot of the equipment that our product goes into is financed. And so that would be very helpful if we saw that. And, certainly, the dealer channel levels, whether it is marine or powersports, are healthier, but the end markets are not growing yet either. So overall, we feel as though we are taking share clearly, and a lot of that, again, is tied back to this targeted go-to-market focus. Jeremy, anything to add there?
Jeremy Evans: Yeah. I think we have also seen some growth in health and wellness in the quarter, so that was another end market that came back in, and mobile, the construction piece is still pretty strong, if you look at the different infrastructure investments both in the U.S. and EMEA, so that is another, when we look at our end markets, that grew year over year.
Nathan Jones: Thanks very much for taking the questions.
Operator: Our next question comes from the line of Mig Dobre with Baird. Please proceed with your question.
Mig Dobre: So for me, sticking with Hydraulics too, and, I mean, look, I appreciate that your approach has been to be fairly conservative with the outlooks that you are providing. But I just want to make sure that we all kind of parse out what is going on with the end market relative to, you know, the way you are kind of choosing to guide. If I look at the Q1 guide, and I think about normal seasonality, right, in this business, typically Q1 versus Q4, we see something like five to six percentage point sequential increase. You are guiding for a lot less than that. And when we are looking at the full year, 500 basis points of growth, that is frankly pretty modest in the context of that being in an early-cycle portion of an industrial recovery. You cited PMI earlier. And, of course, we know that a lot of your OEM customers are outright increasing production in 2026, whether that is construction equipment, earthmoving, aerials, even agriculture, as you just kind of discussed with Nathan a moment ago. So I guess my point here is it would be helpful to sort of delineate, you know, how you think about the end markets themselves relative to kind of how you are choosing to establish your outlook at this point?
Sean Bagan: Thanks, Mig. So I agree with everything you said there. In terms of kind of the seasonality, Q1 ramp from Q4 typically. I think the first thing to highlight and point out is the impact that CFP is having. So roughly, from a year-over-year perspective, the run rate is roughly $15 million of revenue per quarter. But as you imply, in terms of our fourth quarter to first quarter, kind of flattish, and the CFP dynamic is not there. But I just want to remind that that is a year-over-year dynamic. When you get to the full year numbers that you were citing, roughly $45 million that will not repeat in 2026 that we had in 2025, all within the Hydraulics segment. So specific to the first quarter guide, we see the Hydraulics business still being up at a healthy clip year over year, 3% to 7% on a full year basis, and 19% to 21% on a pro forma basis, taking out CFP year over year for the first quarter. We feel real good about that first quarter number in terms of, like I said earlier, you know, we are already months into the quarter. We know what the order book is, so it just comes down to the execution. So we would not expect anything large to come in that we do not see in the first quarter. So that is tied back to, again, the current order book and the sales trajectory quarter to date. So, Jeremy, do you want to add some additional color on that?
Jeremy Evans: Yeah. Maybe just add in the Hydraulics, you know, over half of the business goes through distribution, and so our visibility into the outward order book is a little bit more limited there than what we see through the OEMs. And when we look at, you know, the ag market, I would say what we have seen is more of a stabilization. It has flipped to growth for us, so it is a moderate growth back in Q3 and Q4. And, you know, early indications would imply that we would expect that to carry over, and that has been built into the guide. I would also say holistically that we are really trying to balance the visibility that we have in our order book over the first half over the volatility really around the current global trade situation and tariffs. That is still an unknown of, you know, how that is going to play out. There is also a rising demand for memory chips, and if you read a lot of the news, you know, a lot of these chip manufacturers are moving to the high-end chips, and, you know, we are potentially going to face some constrained supply. Now, we have done a good job already trying to lock in our supply for 2026, and, you know, taking somewhat of an inventory position on that to buffer against that, but I think that that is an unknown, as well as just what, you know, just recently happened here in the Middle East. And so we see a lot of volatility which, at this point, you know, we are trying to balance with what we see in that short-term order book through the distribution partners.
Mig Dobre: Okay. My follow-up, since you brought up the topic of tariffs, is there a way to size the tariff impact on your business? What is incremental in 2026 versus 2025? And how should we think about pricing in both your segments as it relates to not just the tariffs themselves, but, you know, overall cost inflation? We have obviously seen material costs go up over the past few months. Thank you. Are you able to be price/cost neutral or better in 2026?
Jeremy Evans: Yeah. This is Jeremy. Great question. So, you know, the tariff situation, a lot of unknowns right now just around what will be enforced, potential for refunds. I think we track that. We have good visibility. We are monitoring that situation very closely. As you mentioned, we were able to mitigate most of that through tariff avoidance by our “in the region for the region” strategy. But we did take pricing actions to offset that. And we had communicated back in 2025 that we expected our second half direct tariff cost to be about $8 million. We came in a little bit less than that, but as you point out, those tariff surcharges kind of ramped throughout the year, where Q1 was a bit light. So on a year-over-year compare, there will be higher tariff expansion in the first quarter. But most of that, again, is being recovered through pricing actions. And we would take a similar approach as it relates to, you know, cost inflation, definitely the situation around the memory chips, some of the price that, you know, we are seeing on those chips going up four or five times. And we will manage that in a similar situation and recoup as much as we can of that through pricing and obviously keeping those lines of communication open with our customers.
Mig Dobre: Appreciate it. Thank you.
Operator: Our next question comes from the line of Jeff Hammond with KeyBanc. Please proceed with your question.
David Tarantino: Hey, good morning, everyone. This is David Tarantino on for Jeff. So you touched on the tariff pressures, but could you give us some greater detail on the margin expansion levers in 2026, particularly how you are thinking about margin growth between better volume absorption and the more internal initiative-driven productivity benefits?
Sean Bagan: Yeah. So, David, I would answer that by saying we are going to continue to do what we did in 2025. What you would observe is, you know, starting the year at roughly 31% gross margin and adding a point every quarter. Now we think in the 2026 timeframe, we can get back to that mid-thirties, and, again, we are exiting at a 33.5% to 34% margin rate. So number one is volume. We have demonstrated that in 2025. We have a cost structure that will provide leverage to the bottom line as we continue to drive volume. We are not adding any capacity. We continue to optimize our facilities. But then within our focus within the plants and managing of our cost of goods sold, we take an SQDC approach to that—safety, quality, delivery, cost—where we focus most heavily because we think all of those are, one, tied to customer satisfaction and ensuring we are delivering timely product. Obviously, high quality is the number one focus there. But those drive measurable improvements in our margin rates as well, keeping our employees safe, limiting the, from a quality perspective, whether you are talking about rework or warranty or such. So that is the approach we are taking, and it is really on a rate-of-change perspective of driving that continuous improvement. So we have got initiatives in all of our centers of excellence, driven within our businesses.
Jeremy Evans: Yeah, and we will talk more about the different operational initiatives we have within our businesses at our Investor Day, highlighting some of the things that we have done. One, within our Sun Hydraulics business, looking a lot at synchronous flow and how do we get the movement of product through our manufacturing system quicker. And that has actually driven some productivity, as well, helping us take down some of the inventory. We also are looking at how we, you know, configure the operations in the building and how do we make those more efficient, and we have undertaken some changes in lines and, again, reconfiguring that manufacturing process, which makes us more productive. But as Sean mentioned, the biggest driver remains just the volume. As the volume comes through, we get that leverage on our overhead cost and really see the incrementals flow through.
David Tarantino: Okay. Great. That is helpful. And then maybe on the end markets, within Electronics, could you talk about what you are seeing in mobile and recreational end markets that informs the return to growth, particularly around recreational and how this is driven just between channel inventories being too low versus the recent tailwinds you noted from one specific customer?
Sean Bagan: Yeah. On the end markets, if you take our two largest businesses, Balboa Water Group and Enovation Controls. And Balboa Water Group is all health and wellness predominantly targeted at the spa industry. And what we have seen there is the U.S. market still soft. Production continues to increase in China for export, particularly to the European region. But we did grow that business again last year on top of growth from the prior year in 2024. So we are not seeing a significant rebound, but typically that is a market that grows very sleepily, low single digits, and effectively, it is back to that pre-pandemic level, where we saw the spike, and for us, it was double the size it was pre-pandemic for our health and wellness business. And then it contracted more than half, and now it is kind of back to where it was at. And so we expect to see continued growth there, but we are going to outpace the market. And we have a whole line of new products coming that are much overdue. We have really been operating with the same product offering and portfolio of products since Helios Technologies, Inc. acquired Balboa. And given the R&D investment we have been making, we are very excited about what is coming to market. And we get early visibility to that because we are partnering with those OEMs to design in product into their new models. And so we are seeing a little bit of innovation there, and we are really excited about some of the things we are bringing to market as well. When you go to the Enovation business, as you highlighted, it is indexed more to that recreational market, but it is very diverse as well. So when you look at recreation and you look at marine versus more traditional recreational products—side-by-side ATVs, snowmobiles, motorcycles—first, starting with marine, there has been a little bit of consolidation. You have seen some M&A activity with some of our customers, and we see that as positive because that is going to bring in more opportunity for us to, again, sell more to our existing customer base. But we are also on the gas innovation-wise. If you look at all the products we launched last year and what we have coming, we will be showing some of this at CONEXPO this week. It really opens the aperture to the amount of markets we could serve. So we are going to be aggressively going after that. And we have a very strong sales force that is out hunting and, frankly, where we won over $50 million in new business wins, a lot of those new wins came in our Electronics business because we see that addressable market being very large. So overall, that marine market is now right-sized from a channel inventory level. Retail is still down. Early boat season sentiment is mixed. So we are not expecting significant growth out of that. When you do look at the more traditional recreational, the one customer that we highlighted is really taking a lot of share, and we are benefiting from that. In addition, we are trying to work with them in terms of selling them more of our existing products as well. So those would be the two big movers, but we certainly serve the construction and ag market as well on our Electronics side.
David Tarantino: Okay. Great. Thanks, guys.
Operator: Star 1 on your telephone keypad. Our next question comes from the line of Chris Moore with CJS Securities. Please proceed with your question.
Will (for Chris Moore): Good morning. Fiscal year 2021 was an unusual year driven by Balboa, and adjusted EBITDA margin was 24.6%. What would it take over the next three to five years to get back to that level?
Jeremy Evans: Yeah. Well, good callout. As Sean mentioned, 2022 really started in 2021 with the pandemic. We saw extreme growth, definitely in Balboa and that health and wellness, but also in the other end markets as well—rec, marine, the recreational off-road. And you are right. When we got the volumes, you saw the EBITDA and you saw the leverage there. Actually, Balboa in that period was one of the highest EBITDA margin businesses that we had. And so for us, it really comes back to our growth and leveraging the infrastructure that we have to drive that operating leverage. Now, that said, we have had acquisitions since that point in time. We had three in 2022 and 2023 that did not have the same margin profile as the remaining business. So, you know, getting back to that same level, you know, we are targeting definitely mid-twenties EBITDA. We think we can get to that over time, and we will go into a little bit more of that long-range plan at our Investor Day.
Will (for Chris Moore): Thank you. And you have done a great job streamlining the organization and cost structure given some softer end markets. Is there any area where it would be difficult to ramp quickly?
Jeremy Evans: Yeah. Great question. We actually have already started planning for that and saying, what happens if we see a market recovery? You know, how do we make sure that we have got the right resources in place, both people and, you know, I mentioned the supply using chips as an example, making sure that we have the components and the supply we need to deliver on that. So obviously, we will take a wait-and-see approach with some of the volume. We are managing, you know, leaning more towards overtime than, you know, just ramping up headcount. In fact, our headcount on a year-over-year basis, if you kind of adjust for the CFP divestiture, is actually down. So we are going to manage that tightly and push the productivity. But absolutely, we are having those conversations as we see the growth—how do we, you know, make sure that we are prepared and we deliver to our customers.
Operator: We have no further questions at this time. I would like to turn the floor back over to Tania Almond for closing comments.
Tania Almond: Great. Thank you, operator, and thank you, everyone, for joining us today. We look forward to seeing all of you in person at our upcoming Investor Day here on March 20. As we mentioned, we are also heading out to CONEXPO this week as well, so perhaps we will see some of you there as well, too. Feel free to reach out to me with any follow-up questions, and have a great day. Thank you.
Operator: Ladies and gentlemen, this does conclude today’s teleconference. You may disconnect your lines at this time. Thank you for your participation, and have a wonderful day.